Operator: Good morning. My name is Natalie, and I will be your conference operator today. At this time, I would like to welcome everyone to this earnings release conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Sameer Gokhale, Head of Investor Relations, you may begin your call.
Sameer Gokhale - Fifth Third Bancorp: Thank you, Natalie. Good morning and thank you for joining us. Today, we'll be discussing our financial results for the first quarter of 2017. This discussion may contain certain forward-looking statements about Fifth Third pertaining to our financial condition, results of operations, plans and objectives. These statements involve risks and uncertainties that could cause results to differ materially from historical performance and these statements. We've identified some of these factors in our forward-looking cautionary statement at the end of our earnings release and in other materials, and we encourage you to review them. Fifth Third undertakes no obligation to and would not expect to update any such forward-looking statements after the date of this call. Additionally, reconciliations of non-GAAP financial measures we reference during today's conference call are included in our earnings release along with other information regarding the use of non-GAAP financial measures. A copy of our most recent quarterly earnings release can be accessed by the public in the Investor Relations section of our corporate website, www.53.com. This morning, I'm joined on the call by our President and CEO, Greg Carmichael; CFO, Tayfun Tuzun; Chief Operating Officer, Lars Anderson; Chief Risk Officer, Frank Forrest; and Treasurer, Jamie Leonard. Following prepared remarks by Greg and Tayfun, we will open the call up for questions. Let me turn the call over now to Greg for his comments.
Gregory D. Carmichael - Fifth Third Bancorp: Thanks, Sameer, and thank all of you for joining us this morning. As you'll see in our results, we reported first quarter 2017 net income of $305 million and EPS of $0.38 per share. Before, I get into the core quarter results, like to make an observation about the operating environment. I believe that the geopolitical uncertainty and concerns about administration's ability to implement pro-growth policies have caused borrowers to remain cautious. Having said that, we at Fifth Third are not getting distracted by these macroeconomic challenges and are continuing to execute on initiatives we outlined for you in the Project North Star. Now, in terms of the quarter, overall, our results for the first quarter were solid. During the quarter, we benefited from higher interest rates, while credit quality remained stable, our balance sheet positioning as well as the benefit from increased short-term interest rates. We will continue to focus on limiting the downside impact of lower interest rates by maintaining an asset sensitive position. During the quarter, we diligently managed our expenses, while continuing to invest in certain areas of growth. Non-interest expenses were flat year-over-year. This include the impact of the $18 million in compensation-related expenses that we typically recognize in the second quarter, but recorded in Q1 given the change in our long-term incentive grant date. Our adjusted net interest margin expanded 7 basis points sequentially. Our NIM is currently at the highest level since third quarter of 2014. During the quarter, we managed funding costs very tightly and we expect that to continue in this environment. Our total loan balances decline 1% sequentially, primarily driven by C&I loans and some seasonality in our consumer portfolio. Excluding the impact of roughly $600 million in commercial loans we intentionally excited, total commercial loans were up 1% sequentially and 5% year-over-year. Our clients remain cautiously optimistic about the prospects for increased economic activity, and we have seen some improvement in our loan production pipeline in April. As we discussed earlier in the year, we plan to exit about $1.5 billion of C&I loans this year, which will impact our net loan growth. Fee revenues were lower sequentially and year-over-year, primarily due to a lease remarketing impairment and lower mortgage banking revenues. The sequential comparison was also impacted by the $33 million, Vantiv TRA payment that we recorded in the fourth quarter of 2016. Corporate banking revenue was affected by a $31 million lease remarketing impairment related to oilfield services exposure. Excluding this impairment, corporate banking revenue was up 4% sequentially. Expanding our capital markets business remains an integral part of our North Star strategy. Our capital markets fees were up 90% compared to the fourth quarter and 14% year-over-year. The recently hired key talents expand our M&A advisory and investment banking capacities. They should further improve our ability to generate additional fee revenues. Our M&A groups provide advice to a wide range of vertical industry sectors, including consumer retail, diversified industrials, downstream petroleum, healthcare, and technology, media and telecommunications. Mortgage banking revenue was affected by seasonality and higher rates as expected in addition to lower MSR hedge gains. Total mortgage origination volume of $1.9 billion was up 10% from last year and higher than almost all of our peers. Despite the increase in originations, mortgage banking revenue was down 33% year-over-year. This reflected significantly lower rate loss volumes in the first quarter compared to the first quarter of 2016. As many of you know, we recognize revenue when we enter into rate loss. This can cause the timing of revenue recognition to differ from the timing of loan funding. It also reflects small derivative gains and lower MSR revaluation gains compared to a year ago. Growth in our wealth and asset management revenue was strong during the quarter, up 8% sequentially and 6% year-over-year, as our revenue reached an all-time high. Along with capital markets, wealth and asset management revenue is expected to provide a lift to our fees as we execute on our strategic initiatives. During the quarter, credit quality remained stable. Non-performing assets and non-performing loans decreased and our criticized assets remained relatively flat. Within our commercial real estate portfolio, criticized assets are currently at their lowest levels since 2004. We believe that our prudent underwriting strategy and the focus on larger developers is bearing fruit. We expect the credit environment to remain stable for the foreseeable future. We're making good progress on our North Star initiatives across the board. In retail banking, our omni-channel investments and branch automation projects will start to benefit our results more meaningfully later this year and into 2018. Our ongoing efforts in digital have resulted in continued growth in both mobile usage and overall engagement with our mobile offerings. Our loan enrollment is up 56% year-over-year and nearly 50% of all deposits are now made through our mobile and ATM channels. The initiatives in unsecured lending and credit card businesses are well underway. We're also making good progress in expense initiatives in operations and technology, as well as workspace management. Our capital levels remain strong. Our common equity Tier 1 ratio increased to 10.8% from 10.4% last quarter. Our earnings contributed to a tangible book value of $16.89 per share, which was up 2% from last quarter and up 3% over last year. We recently submitted our 2017 CCAR plan to the Federal Reserve. Our strong capital levels and ongoing earnings power are supportive of higher levels of capital return to our shareholders. Overall, our results were solid and we remain well positioned to achieve our long-term objectives. I am pleased that Fifth Third Bank was just awarded Gallup's Great Workplace 2017 Award for the fourth time in a row. This award is the measure of employee engagement, the degree in which our employees feel connected, valued and supported in the workplace. I want to thank all of our employees for their continued dedication in serving our clients and improving the performance of our bank. Our employees are our most important asset and I believe that our focused strategy and the high degree of employee engagement create a powerful combination. Now, with that, I'll turn it over to Tayfun to discuss our first quarter results and our current outlook.
Tayfun Tuzun - Fifth Third Bancorp: Thanks, Greg. Good morning and thank you for joining us. Let's move to the financial summary on slide 4 of the presentation. During the quarter, the expansion of our net interest margin, our focus on disciplined expense management and stable credit quality reflected our continued commitment to driving improved financial performance. The quarter's results included two items that had a net neutral impact on earnings per share. First quarter results reflected the partial reversal of a charge taken in the fourth quarter of 2016 for estimated credit card refunds. This was offset by a negative mark from our Visa swap. Another isolated item was a $31 million lease remarketing impairment related to an exposure to an oilfield services company, which negatively impacted our non-interest income. Average commercial loan balances were down 1% sequentially and year-over-year. As we have discussed over the past few quarters, we continue to exit lending relationships that do not meet our desired risk return profile. Excluding the impact of these exits, commercial loans were up 1% sequentially and grew by 5% year-over-year. The sequential decline reflected the combination of softer loan demand resulting from a less certain fiscal outlook as well as elevated capital markets activity driving higher corporate loan refinance volumes. Healthy level of capital markets activity is keeping loan spreads at very competitive levels, but our teams continue to focus on growing relationships to create value both for our clients and our shareholders. The sequential decline in average C&I balances was partially offset by 2% growth in commercial construction loans this quarter. This growth came predominantly from drawdowns on existing commitments. Spread from construction loans are stable and coupons have expanded reflective of the move in LIBOR. At this time, we have roughly another $900 million of exits to go for the remainder of 2017. Our outlook remains relatively similar to our guidance in January. Excluding these anticipated exits, we continue to expect to grow total commercial loans in the low-to-mid single digits in 2017. Including these exits, we expect our commercial loan portfolio to grow by about 2% on an end of period basis. Average consumer loans were down 1% from last quarter and down 2% year-over-year. Excluding auto loans, consumer loans were flat sequentially and up 3% year-over-year. Auto loans were down 4% from last quarter and 13% year-over-year. We firmly believe that reducing capital deployment in this business is the right decision, especially given the changing risk profile due to the pressures on used car values. Residential mortgage loans grew by 2% sequentially and 10% year-over-year as we continued to retain jumbo mortgages, ARMs, as well as certain 10- and 15-year fixed rate mortgages on our balance sheet during the quarter. Our home equity loan portfolio decreased 3% sequentially and 8% year-over-year, as loan pay-downs exceeded strong origination volumes. Our originations this quarter were 9% higher year-over-year. Unlike the auto loan space, this is a portfolio that we intend to grow. The portfolio decline is predominantly due to pay-downs in the legacy home equity portfolio, and a growing preference for personal unsecured lending over HELOCs. With improved analytics and targeted marketing campaigns, we expect to start growing this portfolio in the second half of this year. Our credit card portfolio was seasonally down 2% from the fourth quarter and down 2% compared to the first quarter of 2016. Excluding the agent bank portfolio, which we sold in the second quarter of 2016, our credit card portfolio would have been up modestly on a year-over-year basis. As we have discussed before, this is an area of significant emphasis within our North Star project. We expect the upgrades in our analytical capabilities to start showing results during the second half of this year and into 2018. Our GreenSky partnership is also continuing to perform in line with our expectations. This partnership should also help support faster consumer loan growth. Excluding the deliberate reduction of indirect auto loan balances, we are expecting to grow our consumer and mortgage loans by a mid-single digits rate in 2017 on an end of period basis. Consistent with our strategy, the redeployment of capital from indirect auto lending to other parts of Consumer Lending franchise will provide further support for higher ROTCE and ROA levels. Average investment securities increased 4% sequentially in the first quarter, primarily due to opportunistic investments made at the end of the fourth quarter. We expect to maintain our investment portfolio at roughly the same level. Average core deposits were flat sequentially driven by increased commercial and consumer interest checking balances. On a year-over-year basis, core deposits were up 2%. Excluding the impact of the strategic exits from St. Louis and Pittsburgh in 2016, core deposits were up 3%. Increases in money market and savings balances were partially offset by a decline in CDs. Our modified liquidity coverage ratio continued to be very strong at 119% at the end of the quarter. Adjusted net interest income was up $2 million from the previous quarter. The fourth quarter's reported result included a $16 million estimated charge for refunds to certain bank card customers. In the first quarter, with the completion of our analysis, this charge was revised and resulted in a $12 million reversal of the prior charge. Our solid underlying NII performance includes the $13 million negative impact of a lower day count, reflects higher short-term market rates and lower wholesale funding balances, partially offset by declining loan balances. Excluding the credit card charge and reversal, the adjusted NIM increased 7 basis points from the fourth quarter to 2.98%, exceeding our guidance of 2.94% to 2.95%. We currently expect NIM expansion of 2 basis points in the second quarter compared to our adjusted first quarter margin of 2.98%. On a full year basis, we expect the NIM to be at the high-end of our original guidance range of 2.95% to 3% that we gave in January, assuming additional rate increases in September and December. Overall, deposit betas so far have remained low and are in the mid-teens with commercial betas in the low 20% range. Our guidance assumes that on a blended basis, consumer and commercial deposit betas will increase to the 30% range in the coming months for the most recent move in March and the next rate hike. For subsequent rate hikes, we expect deposit betas to be closer to 50%. Including the impact of day count, we expect our second quarter net interest income to be up by 1% to 1.5% sequentially from our adjusted net interest income in the first quarter. Adjusted non-interest income in the first quarter was $536 million, compared to $608 million in the fourth quarter of 2016. The fourth quarter of 2016 included $33 million in TRA income from Vantiv. Mortgage banking net revenue of $52 million was down $13 million sequentially. Originations were 10% higher compared to last year's first quarter, but our gain on sale margin was 198 basis points compared with 347 basis points last year due to lower rate lock revenues and a larger proportion of correspondent originations. In addition, we also had lower net MSR revaluation gains in the first quarter. During the quarter, our origination mix was relatively evenly split between purchase and refinance volumes. Approximately two-thirds of the originations continued to be sourced from the retail and direct channels, and the remainder were originated through the correspondent channel. While we are building up our capacity to grow mortgage originations, we are also investing in our servicing business. Recently, we executed two acquisitions for a total of $6 billion in service loans. These portfolios are in the process of being on-boarded. Corporate banking fees of $74 million were down $27 million or 27% sequentially, reflecting the impact of the $31 million lease remarketing impairment. Excluding the impact of the lease impairment, corporate banking revenue increased 4% compared to the fourth quarter of 2016, driven by solid capital markets fee growth of 19%. Deposit service charges seasonally decreased 2% from the fourth quarter and increased 1% relative to the first quarter of 2016. Card and processing revenue decreased 6% both sequentially and on a year-over-year basis. The sequential decrease partly reflects seasonality following higher holiday spending in the fourth quarter. The payments business is an important focus area for our North Star project. In addition to targeting growth in consumer payments, we have ambitious plans in the commercial space. We are combining improvements in our existing business and are complementing them with new partnerships like Transactis and AvidXchange. Total wealth and asset management revenue of $108 million was up 8% sequentially, due to strong brokerage revenue and seasonally strong tax-related private client service revenue. Revenues increased 6% relative to the first quarter of 2016, mainly due to the higher personal asset management and brokerage revenue. Excluding mortgage banking revenue and non-core items shown on slide 13 of the presentation, we expect non-interest income to grow by 3% in 2017. The adjustment to previous guidance on non-interest income is largely due to the lease impairments that we recorded in the first quarter. In the second quarter of 2017, on the same basis, we expect non-interest income to be up 8%. In addition, we expect mortgage origination fees to increase by approximately 30% sequentially in the second quarter. We remain focused on disciplined expense management while still investing in areas of strategic importance. Non-interest expenses were flat compared with last year, including the impact of approximately $18 million in long-term incentive expense that was pulled forward from the second quarter to the first quarter due to a change in the date of our long-term compensation awards. Excluding this item, expenses were down 2% year-over-year and were up less than 1% sequentially, reflecting seasonally higher compensation costs. The sequential increase in FICA, workers' comp and 401(k) expenses totaled $36 million or nearly 4% of our expense base. We expect expenses in 2017 to be up about 1% compared to 2016, including the incremental expenses associated with new initiatives under Project North Star, the same as our guidance last year quarter. In the absence of North Star related expenses, we would have expected our total expenses to decline by about 0.5% in 2017. Our first quarter expenses came in below our expectation and guidance by a significant amount. Despite this outperformance, we expect our expenses in the second quarter to be lower than in the first quarter. Our guidance today continues to reflect our commitment to achieve positive operating leverage in 2017, while we're making substantive progress in lowering our efficiency ratio towards our long-term target of sub 60%. Adjusting for the 3% impact from the difference in accounting for low income housing compared to all of our peers, which has no bottom line impact, this is an ambitious target. Turning to credit results on slide 9; net charge-offs were $89 million or 40 basis points in the first quarter, an increase from $73 million and 31 basis points in the fourth quarter of 2016, but an improvement from $96 million or 42 basis points in the first quarter a year ago. The sequential increase was primarily due to an $11 million increase in C&I charge-offs. Total portfolio non-performing loans were $657 million, down $3 million from the previous quarter, resulting in an NPL ratio of 72 basis points. Total NPAs were down 3% and loans 90 days past due and still accruing decreased 11% sequentially. Our loss provision was $20 million higher than last quarter. Our resulting reserve coverage as a percent of loans and leases of 1.35% was 1-basis point lower than last quarter and 3 basis points lower than last year. Our allowance coverage of NPAs increased to 172% from 157% at the end of the first quarter of 2016. Our previous guidance that net charge-offs will be range bound with some quarterly variability is unchanged, and we continue to believe that our provision expense will be primarily reflective of loan growth. Our capital levels remained very strong and grew during the first quarter. Our common equity Tier 1 ratio was 10.8%, reflecting an increase of 37 basis points quarter-over-quarter and 95 basis points year-over-year. Our tangible common equity, excluding unrealized gains and losses, increased 28 basis points sequentially and 60 basis points year-over-year. At the end of the first quarter, common shares outstanding were flat compared to the fourth quarter of 2016 and down 20 million shares or 3% compared to last year's first quarter. We have buyback capacity of approximately $340 million remaining in our CCAR 2016 plan that we expect to execute this quarter. Book value and tangible book value were both up 2% from last quarter. As I mentioned previously, our common equity Tier 1 ratio has increased very significantly over the past year, while we steadily continued to de-risk our balance sheet. We have submitted our capital plan under the 2017 CCAR. This plan includes a request for additional share buybacks and dividends. Given the 95-basis point increase in our common equity Tier 1 ratio since the first quarter of last year, our strong capacity to generate additional capital and the reduced level of risk exposure across the board, we are seeking to increase the level of capital distributions over the next CCAR cycle. With respect to taxes, our effective tax rate was positively impacted by an $8 million benefit associated with the exercise and vesting of employee equity awards. We expect our second quarter tax rate to be roughly around 25% and the full year 2017 tax rate to be in the 24% to 25% range. Our guidance reflects the benefit from our recent actions and provides support for the initiatives under Project North Star. Our North Star performance expectations were clearly stated last year: end of 2019 run rate ROTCE between 12% and 14%; ROA between 1.1% and 1.13%; and efficiency ratio sub 60% without any meaningful help from the environment. We also projected that given the timing of the project 2018 would be the first year of step-up towards these targets. At this time, we are expecting on a full year basis to be above an 11% ROTCE and close to 1.1% ROA with continued strong expense control. The timing of the progress is more than one year ahead of our original expectations, given the improvement in rates, assuming that there will be two additional Fed rate increases this year and two more next year. These initiatives will leverage our strength in middle market lending, industry verticals and specialty lending areas in our commercial business. In the consumer business, growth initiatives in mortgage banking, credit card and personal lending will provide support for more balanced growth in our overall loan portfolio. Additionally, efficiency initiatives in retail banking, aided by use of technology, should continue to drive increased shareholder value. We continue to target higher revenue growth by expanding our capabilities in businesses such as capital markets, insurance and wealth management, which generate attractive returns. Our revenue growth outlook, our ability to achieve positive operating leverage without changing our risk appetite, our ongoing discipline of maintaining a strong balance sheet, and the long-term strategic positioning of our business lines together provide a positive backdrop for our shareholders. We have included the updated outlook on slide 11 for your reference. And with that, let me turn it over to Sameer to open up the call for Q&A.
Sameer Gokhale - Fifth Third Bancorp: Thanks, Tayfun. Before we start Q&A, as a courtesy to others, we ask that you limit yourself to one question and a follow-up and then return to the queue if you have additional questions. We will do our best to answer as many questions as possible in the time that we have this morning. During the question-and-answer period, please provide your name and that of your firm to the operator. Natalie, please open the call up for questions.
Operator: Our first question comes from Geoffrey Elliott from Autonomous Research. Your line is open.
Geoffrey Elliott - Autonomous Research LLP: Hello. Good morning. Thank you for taking the question. Maybe starting off on the net interest margin, 7 basis points of core NIM expansion this quarter, but it sounds like you're talking about something lower, maybe 2 basis points in 2Q. So, could you explain to us where that dynamic comes from? Why a smaller 2Q benefit than 1Q benefit?
Tayfun Tuzun - Fifth Third Bancorp: You maybe referring to the reported net interest margin there because we are – adjusted net interest margin is 2.98%. Jamie, you want to comment on what we're seeing here in the next few quarters?
James C. Leonard - Fifth Third Bancorp: Sure. Geoffrey, it's Jamie. On the first quarter NIM expansion of 7 bps on the core basis, 7 basis points of improvement was driven by LIBOR and the Fed short-term rate increases plus 2 basis points from day count, and then the benefit of 1 basis point from lower cash levels and then that was offset by a return to more normalized discount accretion levels, so that was 3 basis points of erosion in the first quarter from the investment portfolio. As you recall in the fourth quarter, we had strong levels there. So that's what drove the first quarter 7-basis point improvement. And then to your question as to why not another 5 to 7 basis points in the second quarter, as Tayfun mentioned in the script, we expect a 2-basis point improvement and that will be driven by the fact that our forecast doesn't have another Fed move in it until September, so we have rates relatively flat. We will benefit in the C&I yield area probably 8 basis points on a yield basis, so let's translate that into 3 to 4 basis points of NIM improvement from the March Fed move, net of the deposit betas and some funding mix, and then that will be partially offset by 1-basis point erosion from day count and then potentially 1-basis point decline in loan spreads. So, when you add it all up, the first quarter really benefited from both the December move and the fact that the market had an increase in LIBOR rates ahead of the March move and our second quarter will only have in it the benefit of the March rate hike.
Tayfun Tuzun - Fifth Third Bancorp: And also we gave you the underlying beta assumptions and if we see more discipline in deposit pricing in the market and outperform, then our margin expectations may prove to be more conservative, but that remains to be seen obviously.
Geoffrey Elliott - Autonomous Research LLP: And just on that point, I guess, on the call, you mentioned 20% beta so far, 30% expected for the next couple of rate rises, 50% later, but then if I look at slide 16, you're talking about 70%. Should we kind of see that slide 16 disclosure as more kind of academic at this point? How do we kind of square out the 70% on slide 16 with the 30% and the 50%?
Tayfun Tuzun - Fifth Third Bancorp: Yeah, we have been using those assumptions in our rate risk disclosure since, I think, the end of 2015. But we basically disclose sensitivity tables around those numbers. So despite the fact that we are using, clearly, a 69%, 70% beta in the risk disclosures, we are also bracketing it by disclosing the impact of potential deposit runoff as well as 25% higher and 25% lower beta. So we're giving you enough information to bracket the beta behavior and then we're supplementing that with what we are seeing today, and also, based on what we are seeing today, we're giving you our expectations. So we want to give you the full picture, that's why we are continuing to use those assumptions and those risk tables.
Geoffrey Elliott - Autonomous Research LLP: Great. Thank you.
Sameer Gokhale - Fifth Third Bancorp: Thank you.
Operator: Your next question comes from the line of Matt Burnell from Wells Fargo. Your line is open.
Matthew Hart Burnell - Wells Fargo Securities LLC: Good morning. Thanks for taking my question.
Gregory D. Carmichael - Fifth Third Bancorp: Good morning, Matt.
Matthew Hart Burnell - Wells Fargo Securities LLC: Tayfun, you mentioned that you're still committed to operating leverage improvement this year, which has been a pretty consistent theme of yours. But I believe, in the January call, you mentioned a specific basis point amount of improvement at around 250 basis points, is that still your target or has that changed from January?
Tayfun Tuzun - Fifth Third Bancorp: Are you referring to the efficiency ratio improvement?
Matthew Hart Burnell - Wells Fargo Securities LLC: Yes.
Tayfun Tuzun - Fifth Third Bancorp: Okay. We are still expecting an efficiency ratio improvement. I don't quite recall exactly how we guided the efficiency. But, again, when you go back and look at our guidance, our guidance really has not changed from January. So what we committed to in January still holds.
Matthew Hart Burnell - Wells Fargo Securities LLC: Okay. Can you maybe...
Tayfun Tuzun - Fifth Third Bancorp: With the exception of – the only change we made, I want to clarify that, because in the morning I saw some reports. The only reason why we made a change in our non-interest income expectations is just due to the lease remarketing impairment that we recorded in Q1. With the exception of that, we actually moved our NII guidance up a little bit from where it was.
Matthew Hart Burnell - Wells Fargo Securities LLC: Okay. Thank you. That's good color. And Jamie, maybe a question for you. It looked like securities yields were stable or a little bit lower this quarter. If that's correct, can you give us a sense as to how you're thinking about reinvesting the cash flows coming off that portfolio since you're guiding to relatively stable AFS securities balances?
James C. Leonard - Fifth Third Bancorp: Yeah. On the available for sale book, we did have a decline in the security yields from the fourth quarter to the first quarter. Again, that's just driven by the discount accretion outperformance in the fourth quarter. Our book is very close to par from a premium position. And with 52% of the portfolio in bullet or locked-out cash flows, I would say that this is going to perform a very stable portfolio. We had about $600 million of cash flows in the first quarter. That's what I would expect to continue over the remaining three quarters. And I would expect the portfolio yield on a full year basis to be in a 3.05% to 3.10% range, again, very stable strong performance.
Matthew Hart Burnell - Wells Fargo Securities LLC: Thank you for the color, gentlemen.
Gregory D. Carmichael - Fifth Third Bancorp: Thank you.
Sameer Gokhale - Fifth Third Bancorp: Thank you.
Operator: Your next question comes from the line of Gerard Cassidy from RBC. Your line is open.
Gerard Cassidy - RBC Capital Markets LLC: Thank you. Good morning, guys.
Sameer Gokhale - Fifth Third Bancorp: Good morning.
Gregory D. Carmichael - Fifth Third Bancorp: Good morning.
Gerard Cassidy - RBC Capital Markets LLC: Tayfun, could you give us – I know this is more of a theoretical hypothetical type question, but obviously there's regulatory change coming on the horizon, possibly the global SIFI number will be lifted to over $250 billion in assets and you guys won't be considered as a SIFI. In that scenario, where would you be comfortable in taking the LCR ratio down, assuming you got relief on that as well?
Tayfun Tuzun - Fifth Third Bancorp: I think our thoughts around LCR ratio in terms of today's environment is to manage it right around the 100% to 115% level. Gerard, it would be speculative for me to necessarily project an LCR ratio in a different environment because in that environment, probably, there will be other changes. But any change on that would be positive. It would be positive for earnings, it would be positive the way we manage our liquidity, but I don't want to necessarily speculate an expectation based on that.
Gerard Cassidy - RBC Capital Markets LLC: Sure. And then moving on to a second question, obviously, you guys have highlighted your strategy on bringing down auto. Can you share with us – you mentioned that there is a higher risk profile, which we all are aware of. Can you share with us what you're seeing, whether it's residual values or delinquencies or loan to value of the automobile is a problem? And also, can you remind us where you think you want to get the automobile portfolio down to it before it stabilizes?
Tayfun Tuzun - Fifth Third Bancorp: Yes. So, I think – I'll answer your second question first. I think the stabilization in that portfolio will be achieved sometime during 2019. And the portfolio today is going down by about $1.5 billion or so a year. So, by the end of this year, we would expect to be right around the $9 billion – maybe a little bit lower than $9 billion. I think, ultimately, the average balances in 2019 are probably going to be around $7 billion – $7 billion, $7.5 billion, and that's probably a balance that we would comfortably manage going forward. We are not – our statistics on the auto portfolio are a little bit skewed because you have a declining balance portfolio, therefore, the basis point numbers, whether it's in delinquencies or charge-offs are skewed compared to somebody who's growing their portfolio. We are clearly seeing loan recoveries. Certain used cars are showing deterioration. In terms of default percentages, we're not seeing default percentages going up because the portfolio is a high prime portfolio, which is not as sensitive as subprime borrowers, but the recovery rates in general are looking weaker.
Gerard Cassidy - RBC Capital Markets LLC: Thank you.
Tayfun Tuzun - Fifth Third Bancorp: You're welcome.
Gregory D. Carmichael - Fifth Third Bancorp: Thanks.
Operator: Your next question comes from the line of Erika Najarian from Bank of America. Your line is open.
Erika Penala Najarian - Bank of America Merrill Lynch: Hi, good morning.
Gregory D. Carmichael - Fifth Third Bancorp: Good morning, Erika.
Erika Penala Najarian - Bank of America Merrill Lynch: I just wanted to make sure I understood one of Tayfun's remarks correctly. Because of a more optimistic outlook on the Fed, we can now expect you to achieve 12% to 14% ROTCE a year earlier, in 2018 versus 2019?
Tayfun Tuzun - Fifth Third Bancorp: We are expecting – the guidance that I gave was in 2018, we are expecting to be above 11% ROTCE and close to a 1.1% ROA. So we are entering our North Star target that we projected for very end of 2019 in 2018 now.
Erika Penala Najarian - Bank of America Merrill Lynch: I see. And my follow-up question is, embedded in that guidance for next year in terms of ROTCE above 11%, are you assuming a fully realized deposit beta of 50%?
Tayfun Tuzun - Fifth Third Bancorp: Yes.
Erika Penala Najarian - Bank of America Merrill Lynch: Okay. Thank you.
Tayfun Tuzun - Fifth Third Bancorp: You're welcome.
Operator: Your next question comes from the line of Peter Winter from Wedbush Securities. Your line is open.
Peter J. Winter - Wedbush Securities, Inc.: Good morning.
Sameer Gokhale - Fifth Third Bancorp: Good morning, Peter.
Gregory D. Carmichael - Fifth Third Bancorp: Good morning, Peter.
Sameer Gokhale - Fifth Third Bancorp: How are you?
Peter J. Winter - Wedbush Securities, Inc.: At the onset of the call, you guys talked about that with the macro environment that borrowers remain cautious. I'm just wondering could you talk about what you're seeing in terms of loan pipelines and just the loan environment in the Midwest.
Gregory D. Carmichael - Fifth Third Bancorp: I'll start off and ask Lars to provide additional color to it. First off, I would tell you, we use the term cautiously optimistic in the past. Lot of the uncertainly that's happening in the administration and there are concerns around their ability to basically achieve some of the objectives they haven't finalized with the corporate tax rates, improve the economic growth and so forth are some concerns out there. So it's been pretty sluggish. With that said, we look at our strategic portfolio, we've been able to grow our C&I portfolio roughly about 5%. If you strip out the things that we were pushing out, that $600 million we talked about earlier, but it's been pretty sluggish. But we are starting to see the pipeline pick up in April and we're optimistic that by the full year end of period growth in commercial will be over 2%. Lars, I don't know if you want to.
Lars C. Anderson - Fifth Third Bancorp: I think you hit it well. I would just tell you that we did see a pickup in activity levels as we moved through the first quarter. I would say that the comments generally are somewhere between optimism and enthusiasm. However, we have not yet seen that kind of come through to fundings, but I must say I'm a little bit more optimistic about our pipeline as we look at the second quarter and later in the year. However, ultimate results are obviously going to be impacted by the overall macroeconomic environment. We got a number of lines of business that I would say despite the fact that this is a slow growth environment, you can see that in 8-K data, do continue to do very well, particularly in some of our industry verticals, some of our geographies look attractive.
Peter J. Winter - Wedbush Securities, Inc.: Great. And just a quick follow-up. On capital, you mentioned that you're going to increase the capital return as part of the 2017 CCAR. I'm just wondering do you target a capital ratio for a common equity Tier 1.
Tayfun Tuzun - Fifth Third Bancorp: Traditionally, what we said was that in our CCAR submissions, we intend to keep capital ratios flat going in and coming out of the CCAR period. But we have seen, as I said, nearly a 1% increase over the past 12 months. I think 10% probably is a decent level in this environment and regime for us to target and that's the number that we have in mind.
Peter J. Winter - Wedbush Securities, Inc.: And is there a timeframe that you want to hit that level?
Tayfun Tuzun - Fifth Third Bancorp: Look, ultimately, we are forced to manage our capital over the next four, five quarters, so that's what the market horizon is.
Peter J. Winter - Wedbush Securities, Inc.: Okay. Thanks for taking my questions.
Tayfun Tuzun - Fifth Third Bancorp: You're welcome.
Operator: Your next question comes from the line of John Pancari from Evercore ISI. Your line is open.
Rahul Patil - Evercore Group LLC: Yes, this is Rahul Patil on behalf of John. It looks like the better revenue environment, given higher rates, is helping you achieve Project North Star targets sooner than expected. But could you provide an update around your expense reduction efforts as part of the North Star, are you still targeting around $116 million in cost saves? Any incremental color on that front would be helpful.
Tayfun Tuzun - Fifth Third Bancorp: Yeah. Obviously, we are displaying, as of today, a pretty good discipline on expense management, so some of our recent efforts from 2016, including renegotiation of contracts, et cetera, are helping out quite a bit. As we look forward, there are many areas of focus, including workspace management, including – in technology, utilization of cloud space and other infrastructural investments, investments in more efficient data infrastructure as well as improvements in just overall consulting legal expenses, et cetera. They're all underway. They are moving in line with our expectations. Our goal is to continue save on our day-to-day operating expense base in order to be able to finance North Star related projects. And all of those in general are in line with our expectations.
Sameer Gokhale - Fifth Third Bancorp: Operator, can we move to the next question?
Rahul Patil - Evercore Group LLC: Hello?
Sameer Gokhale - Fifth Third Bancorp: Yes, Rahul, go ahead. Okay. Natalie, I think – let's move on to the next question. Thank you.
Operator: Your next question comes from the line of Ken Usdin from Jefferies. Your line is open.
Ken Usdin - Jefferies LLC: Thanks. Good morning, guys.
Sameer Gokhale - Fifth Third Bancorp: Hi, Ken.
Tayfun Tuzun - Fifth Third Bancorp: Good morning.
Ken Usdin - Jefferies LLC: One further follow-up on the expense side. So great – good start on the first quarter, and then I see the second quarter guidance versus a year ago, which is also pretty flat. So just wondering, just underneath that, Tayfun, you just made the point about good expense control. Do we see a kind of downward trajectory from here, especially as we get into the more meatier part of North Star next year? What if any – gross increases are you still burdened by, whether it's tech compliance otherwise or why can't we see kind of a netting down from here?
Tayfun Tuzun - Fifth Third Bancorp: Yeah, but for the expense related to North Star initiatives, our expenses would've been down this year again. In general, organically, we have some organic inflation in compensation expenses. Our goal is to fund that organic increase in comp expenses, which is basically a reflection of wage inflation, by saving across the board in the next two, three years, so that we can actually absorb that and find other savings to fund the remaining North Star expenses. So we are optimistic that as some of the North Star initiatives come online, including the branch digitization efforts that reduce a significant amount of branch transportation costs, and other expenses, that we will be able to achieve that. So in terms of when do we expect the absolute numbers coming down, into 2019, clearly, as some of the North Star initiatives start easing up, we are going to build that into our forecast. At this point for 2017, the numbers are looking very good with very, very modest increases in total expense.
Ken Usdin - Jefferies LLC: Got it. Okay. And then just a second point on the fee side, taking your point that the second quarter growth is a lot related to just the first quarter low start in corporate services. Can you just talk a little bit about fee dynamics, where do you see growth? And then also if you could – you did talk about mortgage. I know you excluded because of the volatility of it, but – and try to just help us think about some of the dynamics underneath the mortgage business and the moving back and forth between servicing and production?
Gregory D. Carmichael - Fifth Third Bancorp: I'll start off. First off, when you think about the fees in this year as you look to the second, third and fourth quarter, areas of opportunity, growth in wealth and asset management, we're really pleased with the performance we're seeing. As we mentioned, we're up 6% year-over-year and we expect that to continue to be a strong performer this year, as well as the large investments we made over the last four or five years are in capital markets, including a lot of talent acquisitions. We expect to continue to see strong performance in capital markets. We're up 90% sequentially and 14% year-over-year is another opportunity. Mortgage, we'll expect as you would the seasonality in second quarter to pickup over the first quarter. We're also replacing and implementing a completely new digital platform that goes online this year, which will improve our efficiencies and our capacity in that business, so we're very optimistic about our prospects to grow that business as we move into the latter part of this year and into next year. So those are the areas of strength and I'll let Tayfun to add anything else he wants to comment on that?
Tayfun Tuzun - Fifth Third Bancorp: Yeah. So in terms of a few more items on – line items, in payments processing, I would expect that line item to be steadily growing as the year progresses. In deposit fees, obviously, it's been a tough environment with respect to growth in deposit fees for the sector, but our expectation is, again, into second half of the year, we have some initiatives especially in corporate treasury management, and we would expect a slight pickup in that line item in the third and fourth quarters. Mortgage, we expect a pickup in the second quarter. I think, given sort of the rate outlook today, once we achieve that uptick in Q2, we should see those levels holding up in Q3 and Q4. So, obviously, that bodes well for the second half of the year. Wealth and asset management unless there's a significant change in market level should see steady growth throughout the year. Greg mentioned capital markets and overall corporate banking; we would expect a steady increase in that line item. That should give us a very healthy increase year-over-year in corporate banking. So, all-in-all, our expectation is that we will do well across the board. There are number of initiatives, as I said, that are underway that would support this type of loan growth – I'm sorry, fee growth.
Ken Usdin - Jefferies LLC: Thanks for all the color.
Tayfun Tuzun - Fifth Third Bancorp: Yeah.
Operator: Your next question comes from the line of Marty Mosby from Vining Sparks. Your line is open.
Marty Mosby - Vining Sparks IBG LP: Thanks. Tayfun, I want to ask you about the purchase of servicing. We've heard several banks talking about that. Are we kind of leveraging the arbitrage between the assumed prepayment speeds and the actual prepayment speeds, because what we looked at with the value of servicing, is it's been pushed so far down relative to any historic value that once rate started to go up and prepayment speeds began to slow, there was a lot of hidden value in those portfolios. So was that part of the – kind of strategy here is to take advantage of the difference between assumed and actual prepayment speeds?
Tayfun Tuzun - Fifth Third Bancorp: Marty, that's probably part of it. Although, I don't think that necessarily we're making aggressive assumptions about prepayment speed changes. But when you think about it, going back two, three years, we had servicing capacity that far exceeds where we are today due to higher prepayments over the last couple of years. And we have a certain fixed cost base. It is a good business from a return perspective. We do it well, and we are very selective in terms of the profile of the servicing portfolios that we go after, and we service them very efficiently, and therefore, we view servicing, given the certain fixed cost basis, as a very good return business. And we will continue – we're adding, as I said, $6 billion worth of servicing here. Those transactions are being on-boarded, and we would expect that to grow going forward.
Marty Mosby - Vining Sparks IBG LP: And then when we did our deposit analysis, we showed that your – the high watermark or the most aggressive pricer on Jumbo Time over one year, you got a relatively high rate there. I was curious what the funding strategy was or what you had in or thinking in that pricing mechanism?
Tayfun Tuzun - Fifth Third Bancorp: That's more of a leftover initiative from a couple years ago where we ran some promotional offers there. But, right now, I would expect that to be a fairly stable line item for us.
Marty Mosby - Vining Sparks IBG LP: And then lastly, Greg, from a strategic standpoint, we've heard a lot today about financial efficiencies and looking at maximizing and optimizing portfolios, but as you're going through Project North Star and you're thinking about strategically where Firth Third is heading, what kind of progress are you seeing, what kind of successes, what are the things that you're seeing develop as Fifth Third is kind of creating a new identity for itself in the marketplace?
Gregory D. Carmichael - Fifth Third Bancorp: Marty, we talked about being good through the cycle, so everything we do, we put through that lens, and that's why you've seen us optimize the balance sheet the way we have and do some heavy lifting, we did $3.5 billion last year, we pushed out either credit related or return related another $1.5 billion this year, $600 million in the first quarter, so a lot of heavy lifting around the balance sheet and you're seeing that start to show up with respect to, on the credit quality, and what we expect from that balance sheet going forward from a performance perspective. On the investment side of the house, we're investing heavily in the things that create additional efficiencies for the company. We talk about new mortgage loan origination platform, we talk about the digitization of our whole branch infrastructure, we're going to eliminate hundreds of thousands of documents that move back and forth between the branch network with significant cost savings. We reduced our branch count by about 12%. We continue to look for ways to continue optimize that. We did $6 million improvement in staffing and re-optimization – or optimization in that sector. Vendor negotiations, we did $40 million of cost takeouts. So we're going to continue with those type of opportunities. We've added heavily in our technology space and our risk and compliance space. There's opportunities to continue to optimize around those areas. We'll look at artificial intelligence to really focus on our operations to create more efficiencies in that sector. So we're focused on the efficiencies, but we're also looking at how we drive revenue and improve our fee businesses. So that's why you're seeing additional investments in areas like M&A advisory services, expansion of all the capital markets capabilities, but what we're looking forward is to create a balanced infrastructure and business that would be good through the cycle with a higher rate of fee contribution onto our revenue and the balance sheet that will perform well through this cycle. That's what we're working on, that's how we put – the view we put on anything we look at with respect to what we're going do or not do it. And then it gets down to execution, and we tend to execute extremely well. We have clarity on what we're executing towards. So we feel really good about the talent we have to execute these plays. And as we have already, you'll see those results continue to show up in our numbers. We talked about the expenses we're at today. We think there is a lot of upside or opportunity to drive improved expense performance going forward. We want to see some of that materialize before we talk more about it.
Marty Mosby - Vining Sparks IBG LP: Thanks.
Gregory D. Carmichael - Fifth Third Bancorp: Thank you.
Operator: Your next question comes from the line of Saul Martinez from UBS. Your line is open.
Saul Martinez - UBS Securities LLC: Hi, good morning. Thank you for taking my questions. I wanted to drill down a little bit on a couple of fee lines. First, on corporate banking, there is obviously some lumpiness there in terms of the quarterly results and you had, obviously, the impairment this quarter, you had a similar thing in 1Q 2015. But if I take a step back and I look at sort of the quarterly run rate for corporate banking fees, it's been pretty consistently in the sort of $105 million to $115 million range for a few years now. So I wanted to – can you just talk a little bit about or outline some of the efforts there to sort of really restart and really get that fee line moving and what's your level of optimism that you can kick start that revenue line and really sort of break out of the range you've been in over the last couple of years.
Tayfun Tuzun - Fifth Third Bancorp: Hey, Saul, let's – I'm going to sort of digest it a little bit and then I'm going to turn it over to Lars in terms of what we are doing. In terms of the capital markets fees, so capital markets fees is roughly 60% of total corporate banking fees any changes obviously from quarter-to-quarter. The challenging part there that also includes our FICC revenues, the interest rate derivates, commodity derivatives, foreign exchange, et cetera. That business has been under pressure just due to environmental factors. And the overall capital markets fee growth is being somewhat limited by the pressures on that business. We are actually doing certain things in that business. I'm going to turn over to Lars to articulate those. So, as that business recovers, I think we'll do well, the rest of the capital markets business is a combination of corporate bond fees, loan syndications, and M&A advisory equity capital markets. Again, Lars and his team are working very diligently to change the slope for any growth. The remaining pieces in corporate banking fees other than capital markets are basically the lease remarketing, obviously, that's been a bit lumpy, and then just overall fees associated with loan activity, letter of credit and other corporate banking fees. So those obviously – as the loan environment changes, those also would be positively impacted. But Lars, you guys are doing a lot of things here to change the slope.
Lars C. Anderson - Fifth Third Bancorp: Yeah. So I think the point on our FICC businesses is critical. That's been one that obviously globally we've seen kind of a risk off ever since Brexit. What you've seen across a lot of the regional bank platforms is the FRM businesses and foreign exchange, interest rate commodity hedging have been very weak. However, in spite of that, that historically has been a big part of our company. We're there with our clients, we're talking to them, we're strategizing, so that when we get back into a risk on type of environment that we will be positioned with them. And I would tell you that we're making technology investments there to improve even the delivery and go to a digital real-time environment. And I see that this frankly is a North Star opportunity for us to drive some significant fee income for us for the future. So I'm optimistic on that part of it that Tayfun referenced. The investment banking piece of it, loan syndication, corporate bond underwriting, equity underwriting, M&A – our investment banking revenues are up 45% on a common quarter basis. So I don't think there's any question about it that we're moving market share in the regional banking space there. And that's really important to our core strategy that Greg talks about. It's advisory base, it's a relationship base, and we're bringing solutions and ideas to these clients to help them to grow, be successful. This is a developing story and one that we continue to invest in, in technology as well as talent and align it with our industry verticals, the areas of our company that we want to grow.
Saul Martinez - UBS Securities LLC: Okay. No, that's helpful. And I'd love to pick your brain at some other point offline on what you're doing. But if we can move to payments as well, and obviously, you guys highlighted some of the things that impacted the results this quarter. I think you mentioned reward, the agent bank card sale, obviously, seasonality sequentially. But can you talk more broadly about business momentum? It's obviously – it seems like a pretty important part of your strategy going forward. And do you feel like you're getting traction and how optimistic are you that you can really start to ramp up the revenues. I think you did mention that you see steady growth during the course of the year, but if you could maybe comment a little bit more broadly on your strategy, what you're seeing in the marketplace and how quickly can you really start to see that line item move in an upward trajectory?
Gregory D. Carmichael - Fifth Third Bancorp: We're optimistic that we can grow that line as we move forward. A lot of the investments that we recently made as part of Project North Star start to really take hold in the second, third, and fourth quarter of this year and into next year, of course, on the card business. We introduced a couple additional products. We completely reengineered our analytics team in that area and we're optimistic – and we're starting to see it already, some lift in that business as we had projected we would, which will continue to materialize through the year. In addition to that cash management, we made numerous investments in technology, in fintech space, in partnerships to continue to be additive to support our verticals, which is extremely important. We continue to focus on cash management solutions such as our CPS technology. We've got over 10,000 plus devices now installed, and you're really starting to see that show up in a meaningful way as we move through the rest of this year. So we're optimistic we can grow that line item, and Tayfun, if you want to add any more color.
Tayfun Tuzun - Fifth Third Bancorp: Yeah. So, when you think about payments business and split it into consumer and commercial; on the consumer side, with respect to balances, as Greg said, we introduced a couple of new cards in Q4. And when you do that, it tends to have an impact on just outstanding balances. So we're going through that, but those cards are getting great traction and we expect that they will contribute to balance growth. And also, as Greg mentioned, we are truly investing in our analytical capabilities and partnering up with some teams well known in the industry to improve both the front-end analytics as well back-end. So the consumer side is going to be an important part of the picture. But on the commercial side, the two areas that we are currently very focused on is pricing and optimization and regular treasury management in the regular treasury management portfolio, which is basically a stand-alone project without even touching upon growth there. And the other piece is commercial card. Our commercial card revenue is, in general, about $60 million, $65 million on an annual basis, but I think we are expecting with this new project of integrating commercial card into our overall relationships across the board, we are expecting healthy growth there as well. So, you will see more credit exchange coming, which is matched a little bit, obviously, with higher cash rewards, but overall going into 2018 and 2019, we are very optimistic about (01:06:17).
Saul Martinez - UBS Securities LLC: That's helpful. Did you disclose how much the sale of the agent bank card portfolio impacted the payments line year-on-year? Was it material?
Tayfun Tuzun - Fifth Third Bancorp: Yeah, that was in the second quarter and was about $10 million...
Saul Martinez - UBS Securities LLC: Okay.
Tayfun Tuzun - Fifth Third Bancorp: ...of gains in the second quarter of last year.
Saul Martinez - UBS Securities LLC: Okay. Thank you very much.
Operator: Your next question comes from the line of Matt O'Connor from Deutsche Bank. Your line is open.
Ricky Dodds - Deutsche Bank Securities, Inc.: Hey, guys. This is actually Ricky Dodds from Matt's team. Most of my questions have been asked, but maybe following up on Marty's question, a bigger picture one on some of the recent investments you've made. I think you said in the prepared remarks that GreenSky is performing in line with expectation. I was wondering if you could touch on some of the other recent investments there or partnerships, things like ApplePie, and perhaps give us a sense of their performance versus maybe your initial expectations and then, additionally, how meaningful can these businesses be over time? Thanks.
Gregory D. Carmichael - Fifth Third Bancorp: Yeah, first off, GreenSky, as I mentioned in the prepared remarks, is ramping up, and we're very pleased on the performance of GreenSky with respect to our expectations from balance sheet perspective, but also some of the more strategic components of that on the referral part and also the investments in the technology sector embedded into our franchise will start to come on later this year. So that's going well and as planned. Other areas that we're looking at, you mentioned ApplePie, we're just in the infancy of really studying that opportunity and determining how best to position that, and right now, we're early in that phase. So I wouldn't comment too much about that one. Other investments that we're making that will come online, as I mentioned, the mortgage loan origination platform, that comes online third quarter of this year. We'll start to roll it out segment by segment. Our branch optimization and digitization, that starts to come online later this year. So we expect to see the returns of that, and the improvement of that. And then investments in Transactis and AvidXchange are right on target with respect to our expectations. Albeit, they will be fairly modest this year, but we expect those to ramp up over time as we move into 2018 and 2019.
Ricky Dodds - Deutsche Bank Securities, Inc.: Okay, great. And then, lastly, maybe a quick question on Vantiv, just wondering if you can provide maybe your updated thoughts on the stake and then what the plans would be when and if you were to decide to monetize that?
Gregory D. Carmichael - Fifth Third Bancorp: Right now, we have an equity position about 17.8% in Vantiv. We've been very, very diligent about how we've managed that position. It's a significant source of our off balance sheet capital for us. We've been very strategic with it. When you look at this, trust me, every single quarter, right now, we're comfortable where we're at, but that may change next month. But we'll continue to look at it. Once again, it's all focused on what creates the greatest value for our shareholders. And over time, our patience has paid-off well for our shareholders.
Ricky Dodds - Deutsche Bank Securities, Inc.: Thanks, guys.
Tayfun Tuzun - Fifth Third Bancorp: Thank you.
Operator: Your next question comes from the line of Christopher Marinac from FIG Partners. Your line is open.
Christopher Marinac - FIG Partners: Thanks. Just wanted to ask about the criticized loan mentioned in the slides, would that be applicable for the commercial as well?
Frank R. Forrest - Fifth Third Bancorp: I'm sorry. What is your question regarding criticized loans?
Christopher Marinac - FIG Partners: Would criticized loan be applicable for the commercial and the consumer side in terms of being flat?
Frank R. Forrest - Fifth Third Bancorp: Yes. Criticized loans were slightly up this quarter about $70 million. But, as a reminder, over the previous four quarters, criticized assets were down $955 million and we project that they will continue to remain flat to slightly improve for the rest of the year.
Christopher Marinac - FIG Partners: Great. Thanks for that, Frank. And then just a quick question for Tayfun; what are the mechanics on lower tax rates in the future? Should we be thinking of that as sort of retention of whatever cuts may occur?
Tayfun Tuzun - Fifth Third Bancorp: Are you talking about with respect to potential changes in the tax rate regime?
Christopher Marinac - FIG Partners: Correct, correct. So for every drop in tax, how does that work?
Tayfun Tuzun - Fifth Third Bancorp: Yeah. Look, I think, clearly, the corporate tax rate alone does not necessarily define the ultimate picture. As you know, our guidance for this year is in the 25% range. So we do have deductions and it's important for us to maintain those deductions in place as the overall corporate tax rates come down. I don't have a guidance as to what every percent of change in tax rates would be just because the outlook is very cloudy as to how the complete tax regime may look like in the future. We will benefit from it. We'll benefit more if we can maintain our reductions, but if they take it away we'll benefit less. That's our current thinking.
Christopher Marinac - FIG Partners: Great, Tayfun. Thanks very much for the color.
Tayfun Tuzun - Fifth Third Bancorp: Thank you.
Operator: Your next question comes from the line of Vivek Juneja. Your line is open.
Vivek Juneja - JPMorgan Securities LLC: Hi. Thanks for taking my question. A couple of quick ones; could you give us your retail sector exposure?
Frank R. Forrest - Fifth Third Bancorp: Hi, this is Frank. Let me break it down for you. We've got right under $1 billion in CRE retail, that's broken out between the stabilized portfolio, which is about $650 million and construction, which is $350 million. And then on non-CRE retail, we have a $1 billion to general retailers and we've got another $3 billion to specialty retailers. In the non-CRE retail, the outstanding is around $1.8 billion and, to give you an idea, that's about 3.5% to 4% of our commercial portfolio, and it's performing very well.
Vivek Juneja - JPMorgan Securities LLC: Okay. Okay. And how much of this is ABL or is it just straight lines, unsecured lines?
Frank R. Forrest - Fifth Third Bancorp: Well, it's a combination, most of these are mid-cap and large-cap companies that tend to be revolving lines of credit, some term credit.
Vivek Juneja - JPMorgan Securities LLC: Okay. Okay. Thanks, Frank. Lars – a couple of questions for Lars. Lars, you mentioned something about that you're doing commodity hedges. Could you tell us what you're doing in commodity hedges and also in equity underwriting? In response to an earlier question, you mentioned both of those. What kind of an infrastructure you built up in equity underwriting?
Lars C. Anderson - Fifth Third Bancorp: Yeah. So, today, what we're essentially doing is we're laying off on the commodity hedging, we are providing risk management services effectively there to our clients as they look out into the future and they're trying to manage their margins, obviously, with a risk off environment. There's been less activity there. The equity underwriting has been something that has been an area that we have more recently been growing. It's a relatively small part of our overall investment banking platform are dominated by loan syndications, corporate bond, underwriting. But, for selective names, we're certainly in the underwriting of often times conversion of some of their balance sheet over to equity where we can improve their capital stack. So it's an advisory-based business, and we don't expect to be a leader in equity underwriting, but it's got to be a part of the entire kind of capital stack solution advisory approach to our clients.
Vivek Juneja - JPMorgan Securities LLC: Okay. So you're not in the business yet of like equity research or equity trading capabilities...?
Gregory D. Carmichael - Fifth Third Bancorp: No, we're not.
Lars C. Anderson - Fifth Third Bancorp: No, we're not.
Vivek Juneja - JPMorgan Securities LLC: Okay. Thank you.
Operator: There are no more questions at this time. I'll turn the call back over to presenters.
Sameer Gokhale - Fifth Third Bancorp: Thank you, Natalie, and thank you all for your interest in Fifth Third Bank. If you have any follow-up questions, please contact the Investor Relations department and we will be happy to assist you.
Operator: This concludes today's conference call. You may now disconnect.